Operator: Good afternoon. My name is Anthony and I will be your conference operator today. At this time, I would like to welcome everyone to the Trimble Navigation Quarter One Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks there will be a question-and-answer session. (Operator Instructions) Thank you. I would now like to turn the call over to Ms. Willa McManmon, Director of Investor Relations. Please go ahead ma'am.
Willa McManmon: Thank you, and thank you for joining on today's call. With me is Steve Berglund, our President and CEO; and Rajat Bahri, our CFO. During the course of this conference call, we will make projections and other forward-looking statements regarding future events or the financial performance of the company. The words intend, expect, plan or similar expressions are intended to identify forward-looking statements. We would precaution that such statements are subjected to risks and uncertainties that could cause actual events or results to differ materially. Important factors relating to our business, including factors that could cause actual results to differ from our forward-looking statements, are described in our Form 10-Q, 10-K and other filings with the SEC. The company assumes no obligation to update these forward-looking statements to reflect actual results or changes in assumptions or other factors. We would also like to mention that in order to help investors understand our past financial performance and our future results; we supplement the financial results that we provide in accordance with Generally Accepted Accounting Principles or GAAP with non-GAAP financial measures. Reconciliations for the non-GAAP numbers we discussed on today's call can be found on the Investor Relations section of our website. With that, I will turn the call over to Steve.
Steve Berglund: Good afternoon. First quarter performance, besides reflecting continuing strong financial performance, represented an important symbolic milestone for Trimble. For the first time, trailing 12 months’ revenue exceeded the $1 billion level. The extra digit may be only symbolic, but it does represent a natural point of introspection to consider the behaviors and strategies back at Trimble here, and to identify the behaviors that will be necessary to sustain momentum into a challenging future. Since 1999, which represents the point of origin for much of the management group, Trimble has generated a compound revenue growth rate of 19% per year, and more importantly has increased non-GAAP operating margins from 7.5% in fiscal 1999 to 19.4% in the first quarter of 2007. During that time we've grown from less than 1000 employees to more than 3,400 employees and from a narrow geographic focus to a global enterprise with development, manufacturing and sales facilities in approximately 50 locations in twenty countries. Baseline first quarter performance across all of Trimble segments reflected progression on both the top and bottom lines. Total revenue before @Road grew by 22% over the first quarter of 2006 and with @Road grew by 27%. Non-GAAP operating margins reflected an improvement of 2.3 points over the first quarter of 2006 on the strength of operating leverage of 28% which would have been higher without the impact of @Road. The Engineering and Construction business continues to perform well with some changes in the mix of the business. Aside from the residential construction slowdown in the U.S. which has not had a material impact on our overall results, the construction market continues to be strong worldwide. Our Survey Instruments business has seen particularly strong growth internationally which has offset some pockets of slower growth in the U.S. One example of the faster international growth is in Europe, which a few years ago, was a relatively under-represented market for Trimble Survey Instruments and a strategic lay guard to the U.S. With the combination of improved economic growth and solid managerial execution, we have grown our European sales faster in both the European survey instruments market and our U.S. sales. As a result we have taken share in Europe and survey sales are approaching parity with our U.S. survey sales. This performance is reflective of our experience in other international markets including China, India, South Africa and the Middle East. The Field Solutions segment demonstrated strong performance in the quarter with particularly strong performance from agriculture. The improving outlook for agriculture is primarily a result of an improved farm economy in North America, a strong Trimble product portfolio, aggressive marketing actions, and accelerating international growth. The other business in the segment, Geographic Information Systems is also demonstrating underlying growth, although was camouflaged in the first quarter by an unusually large first quarter in 2006. The Advanced Devices segment also demonstrated significant growth in the quarter with the components business reflecting continuing strong demand for non-automotive applications. In addition, we are seeing an improved revenue ramp per contract. The Mobile Solutions segment continues its progression. We currently have four business elements within the segment, each with its own story. The original business element was the segment as it was constituted in 2005, before the acquisitions of the last 18 months. This business is centered on the ready mix concrete market. It lost money through the third quarter of 2005, and has been profitable for the last 6 quarters with recurring revenues increasing, and a double-digit growth rate, resulting in steadily improving margins. The second business element is public safety, which was created out of the acquisitions of Advanced Public Safety and Visual Statement. During 2005 and early 2006 this business is producing double-digit revenue growth rates and is expected to generate double-digit operating margins for the year. Our third business is Direct Store Delivery or DSD which was created through the acquisitions of Eleven Technology and MobileTech. This business is requiring some patience till it achieves its targeted performance. While we continue to like the potential and dynamics of the DSD market, we need to accomplish two tasks to establish a basis for financial performance, more consistent with Trimble as a whole. The first task is to perform on a number of pre-acquisition contracts which are requiring more work and more time than we contemplated at the point of their acquisition, and therefore not yet profitable. The second task is to accelerate the pace of innovation in the DSD market and to deliver higher software functionality beyond what is currently available as a way to further energize the market. Once these tasks are complete, we should see a stepped function of profitability in the DSD business in 2008. The fourth business within the Mobile Solution segment is @Road, which we acquired two and half months ago. Since then, we have taken a number of steps to establish the basis for improved long-term performance. The transition is proceeding and they are pleased with our progress today. The first step is then the restructuring of the company consistent with Trimble's divisional philosophy. There are now a number of divisions within @Road, each with a market focus and accountability for our P&L. This organizational and cultural realignment is fundamental to intelligently managing revenue growth and progressing towards operating margins above 20%. The second step has been the appointment of a new senior management group within @Road. With just a couple of exceptions, this group was promoted from within @Road and as a result continuity has been preserved during a time significant change. Overall, we have managed through the early days of the acquisition without any meaningful organizational disruption. The third step has been a new 2008 budget, consistent with our pre-acquisitions first year financial model. The budgetary emphasis has been on improving @Road's operating leverage. The fourth step has been the identification of cost efficiencies, synergies and business practices needed to achieve the long-term financial model with accompanying action plans. As we have said in previous calls, the overall level of re-engineering needed is relatively small. Overall, we have not discovered any significant surprises within that growth. We expect to see continual improvement and profitability during 2007 with significant profitability improvement in 2008. There are a number of reasons why the financial improvements will be progressive as opposed to dramatic. The first is the mechanical effect of working through the impact of acquisition accounting for deferred revenue. The second is that we will continue to incur significant development cost through 2007 that are associated with a number of large contracts that have been taken in the last year with no significant short-term revenue. The third is that it will be 2008 before we see the full effects of a number of the programs to achieve the efficiencies and synergies that are being put in place in 2007. Now, that Trimble is at a billion dollar revenue rate, we have new advantages of scale which enables us to be more aggressive and expansive. On the other hand, we face challenges of complexity, transparency and control. In engaging in some level of introspection and how to maintain or increase our momentum, we are balancing the need to reinforce the past settlements that will continue to work for us, to eliminate ineffective behaviors that are no longer appropriate and to add new scales and behaviors that will enable us to become more effective. Examples of the elements to be reinforced to meet the challenges will include, becoming even more aggressive internationally in mentality strategy and in an execution, expanding the frontiers of what our total commitment for solving the customer's problem means and practice, achieving greater financial and operational transparency in order to continue to refine our divisional organizational model; effectively coupling a wide array of technologies and capabilities with a large number of markets, and supporting and developing our managers and employees to enable them to be the key differentiator relative to our competition. This is just the slice of the extended width. These internally generated demands to do better are triggered by our belief that we have an extended list of on net needs in the marketplace that can continue to fuel an aggressive growth trajectory. We are not ideas constrained, and our intention is not to allow internal constraints to stand in our way of realizing the potential. In the meantime, we have all segments performing well, with an outlook for 2007 that is substantially unchanged and that remains positive. Let me turn the call over to Raj.
Rajat Bahri: Good afternoon. As a reminder, we completed a 2:1 stock split on February 23rd, 2007, so all 2006 numbers have been split adjusted. First quarter 2007 revenue was $285.7 million, up 27% year-over-year. Excluding @Road, revenue was $274.5 million, up 22%. GAAP earnings per share were $0.24, up from $0.22 in the first quarter of 2006. We are looking at year-over-year comparisons, it should be noted that the first quarter 2007 GAAP earnings were impacted by $0.05 per share due to higher amortization of purchase intangibles and purchase in-process research and development expense, and by $0.02 due to restructuring expense as a result of acquisitions. Additionally, first quarter 2007 GAAP earnings were impacted by $0.02 due to the impact of FAS 123R. Adjusting for these expenses, non-GAAP earnings per share were $0.33, up 27% over the first quarter of 2006. While the tax rate for the first quarter of 2007 was 32% due to a one-time reversal of the valuation allowance for research and development credit, we expect a full-year tax rate of 37% to 38% versus regular guidance of 35% to 37%. We have been working on long-term tax planning strategies that we expect will get us to a tax rate of 34% to 35% by 2009. Operating income for the quarter was $39.3 million, up 19% compared to the first quarter of 2006. Operating income was impacted by an increase in amortization of purchase intangibles, and purchase in-process research and development expense of $7.7 million over the first quarter of 2006 due to acquisitions. Additionally, restructuring expense of $2.7 million was also due to acquisitions. Adjusting for these two factors, non-GAAP operating income was $55.3 million in the first quarter of 2007, up 43% from the first quarter of 2006. Operating income margins for the first quarter was 13.7%, down slightly from 14.6% in the first quarter of 2006. Again, adjusting for the factor as mentioned earlier, non-GAAP operating income margins for the quarter were 19.4%, for up about 200 basis points compared to 17.1% in the first quarter of 2006. Now, I will discuss the results by segments. Engineering and Construction revenue for the first quarter of 2007 was $175.6 million, up 20% over the first quarter of 2006, driven primarily by sales of construction products, including machine controls and strong international growth. Operating income for the first quarter of 2007 in E&C was $42.2 million or 24% of revenue compared to $26.4 million or 18% of revenue in the first quarter of 2006. Margin improvement was driven by the mix of products in construction and by operating leverage. Non-GAAP operating income for the first quarter of 2007 in E&C was $43 million or 24.5% of revenue compared to $27.4 million or 18.7% of revenue in the first quarter of 2006. Trimble Field Solutions revenue in the first quarter of the 2007 was $51 million, up 18% from the prior year, due to a strengthening agricultural market and the introduction of the EZ-Guide 500. TFS operating income for the first quarter of 2007 was $16.6 million or 32.6% of revenue, compared to $13.9 million or 32.3% of revenue in the first quarter of 2006. TFS non-GAAP operating income in the first quarter of 2007 was $16.8 million or 33% of revenue for the first quarter of 2007 compared to $14.2 million or 32.9% of revenue in the first quarter of 2006. Revenue for Trimble Mobile Solutions in the first quarter 2007 was $29.9 million up 137% from revenue of $12.6 million in the first quarter of 2006. $11.3 million of this revenue came from acquisition of @Road which closed on February 16, 2007. TMS operating income was $1 million or 3.4 % of revenue for the first quarter of 2007 compared to $223,000 or 1.8 % of revenue in the first quarter of 2006. Margin improvement was due to an increased subscriber base. TMS non-GAAP operating income was $1.8 million or 5.9% of revenue for the first quarter of 2007, compared to $399,000 or 3.2% of revenue in the first quarter of 2006. Additionally, I am happy to report that @Road had a small profit in the last six weeks of the first quarter of 2007 versus a loss in the first quarter of last year. Advanced Devices revenue for the first quarter was $29.3 million, up 25% year-over-year, driven by embedded product sales. Advanced Devices operating income was $3.3 million or 11.4% of revenue for the first quarter of 2007, compared to $2.3 million or 9.9% of revenue in the first quarter of 2006. Advanced Devices non-GAAP operating income was $3.7 million or 12.6% of revenue for the first quarter of 2007, compared to $2.8 million or 12% of revenue in the first quarter of 2006. The margin improvement was driven by higher sales and the Nokia royalty payments. For the overall company, gross margins for the first quarter of 2007 was 50.1%, with non-GAAP gross margin of 51.5%, compared to 47.6% and non-GAAP gross margins of 48.1% in the first quarter of 2006. The significant expansion came from acquisition of several software and subscription based business models and mix of our products. Geographically in the first quarter, overall company revenue increased year-over-year by 19% in North America, 34% in Europe, 29% in Asia Pacific and 46% in the rest of the world. Total operating expenses for the first quarter of 2007 came in at $103.9 million or 36% of revenue, compared to 33% of revenue in the first quarter of 2006. Operating expenses for the quarter included $4.1 million from amortization of purchased intangibles, $2.1 million for in-process R&D expense, and $2.7 million in restructuring charges that resulted from acquisitions, as well as $3 million impact from stock-based compensation. Excluding these impacts, first quarter operating expenses were 32% of revenue versus 31% in the first quarter of last year. In this quarter, we had an operating leverage of 28%. Non-operating income for the first quarter of 2007 was $2.9 million versus $2.8 million in the first quarter of 2006. Higher interest costs were offset by higher profitability from the CTCT joint venture. For the first quarter of 2007 GAAP net income was $28.7 million, and earnings per share were $0.24, up $0.02 when compared to the first quarter of 2006. Earnings per share in the first quarter of 2007 were impacted by approximately $0.05 due to higher amortization of intangibles and in-process R&D, by 2 cents due to restructuring charges and by $0.02 due to the impact of FAS 123R. Non-GAAP net income and earnings per share for the quarter were $39.6 million and $0.33, up 33% and 27% respectively over the first quarter of 2006. Looking at the balance sheet, we finished the quarter with $63.6 million in cash compared to $129.6 million in the prior quarter. In the first quarter, net accounts receivable were $216.1 million, compared to $172 million in the fourth quarter of 2006. The increase was driven by inclusion of @Road and higher sales. Days sales outstanding improved to 54 days compared to 55 days in the prior quarter. Inventory was $127.6 million compared to $112.6 million in the third quarter of 2007. The increase was driven primarily due to the inclusion of @Road. Terms improved to 4.2 for this period compared to 4.1 in the prior quarter. Our debt level as a result of @Road acquisition is $170 million versus our original forecast of $270 million. The lower debt was due to better cash flow from operations and less acquisition activities than anticipated. Now, I'll give you GAAP guidance for the second quarter of 2007, including the impact of @Road. In the second quarter of 2007, Trimble expects revenue to grow 26% to 28% compared to second quarter of 2006, with revenue between $308 million and $330 million. At 39% tax rate with approximately 124.6 million shares outstanding, we expect second quarter 2007 GAAP earnings per share between $0.22 and $0.24. Trimble expects non-GAAP earnings per share between $0.29 and $0.31 compared to actual split-adjusted non-GAAP earnings per share of $0.29 in the second quarter of 2006. Non-GAAP guidance for the second quarter of 2007 uses a 39% tax rate and excludes the amortization of intangibles of $10.7 million related to previous acquisitions, and anticipated impact of stock-based compensation expense of $3.9 million. As we guided on our fourth quarter 2006 earnings call, revenue for 2007 is expected to be between $1.4 billion and $1.17 billion, with $80 million to $85 million of revenue coming from @Road. On a GAAP basis, Trimble expects 2007 earnings per share of $0.78 to $0.80. Trimble is raising its previously announced split-adjusted, non-GAAP earnings per share guidance for 2007 by $0.02 to $1.07 to $1.09, due to a lower debt level than originally guided, partially offset by a higher tax rate. Non-GAAP guidance for 2007 excludes an estimated $38.9 million impact from an amortization of intangibles, a $2.1 million impact from in-process research and development expense, a $2.7 million impact from restructuring expense, and a 14.8 million impact from stock based compensation expense. We will now take your questions.
Operator: (Operator Instructions). Our first question comes from Amit Kapur from Piper Jaffray.
Amit Kapur - Piper Jaffray: Great, thanks a lot guys. I was wondering if you could talk a little about how the integration of @Road is going and in particular -- you talked after the acquisition about having two platforms. I think you trying to migrate on one, how is that migration coming along?
Steve Berglund: Sure. So, first of all, let me characterize the transition as going well overall. As I pointed out in the scripted remarks, we've done a number of things, all of those have gone pretty much as we expected to go and we haven’t seen any early disruption. So, in terms of product rationalization in all that, I don’t want to say too much, I'd just assume to keep some competitive secrets here, but lets just say that we have the old PMS bunch with combined with the @Road people and I think there what we do see is a whole lot of potential both at hardware level and the software level to lets say rationalize platforms both in terms of a simpler, a more compact set of offerings. Again both hardware and software, but also in terms of being able to put together capabilities in creating new product offering. So, I am going to be less than specific on it, and I not giving a timetable, but let's just say is that as we march through 2007 I think that will bring to you, I have more and more to show in that recurrent on it.
Amit Kapur - Piper Jaffray: Sure. And maybe turning to some of the international markets that you talked about, are any geographies kind of standing out in your mind or you are just seeing kind of across the board strengthen in a lot of international markets?
Steve Berglund: If I would point at one -- first of all, I think those geographies which actually embraces much of the world outside the North America, they are all strong and we are seeing very strong growth in most of them, but I would say is if I were to point more specifically at one over the other, it would be the Middle East. The Middle East for us is a very good market at this point in time, and starting from a lower base but in terms of percentage growth is very good at this point.
Amit Kapur - Piper Jaffray: Starting from a lower businges, but in term so percentage growth is very good at this point.
Amit Kapur - Piper Jaffray: Okay. We have one last question before turning it over. If we kind of look at the mix of international versus domestic sales trending throughout 2007, how should we expect that mix to trend?
Steve Berglund: Again, lots of moving parts here with the acquisition of @Road, our relative the U.S. content has gone back up, just doesn't matter if I worth in the text so, I am not sure I am if able to make a call in terms of percentage split, but I would say at this point in time as we indicated in the script is that right now the international markets are growing faster than the U.S. So, if we can establish the right baseline, I would expect to see international sales go up relative during 2007, but I am not able to make a call in terms of how much of a move that may be at this point.
Amit Kapur - Piper Jaffray: Okay, great. Thanks a lot, guys.
Steve Berglund:
Operator: Our next question comes from the Bill Benton, from William Blair
Bill Benton - William Blair: Good afternoon, guys. Quickly on the international question, again, obviously we saw an (inaudible) comparisons of the category here but obviously there was a dichotomy in your domestic versus international results, specifically with your E&T segment, are you seeing any of those same dichotomies? I got the sense that you talked about some pockets of weakness domestically, but I didn't know if there was any that were significant?
Steve Berglund: Sure. First of all, you are right, that's not the comparison we would instantly point to but relative to Caterpillar some similarities, but again the correlation isn't necessarily all that strong. So, the way we characterize it is -- while, the way we characterized within the script carefully was that worldwide construction growth remains strong and that does include the U.S. We saw a significant construction growth in the U.S. in the quarter. That looks relatively robust after making the necessary qualification that we've been making for the last few quarters relative to residential. On surveying instruments, there were some, what I would call pockets, where there was some slower growth, and but not anything that I would paint of as seeing an overall picture at this point in time, it was pretty much regional and in some product categories but nothing all that significant. So, I don't think there is any great pattern that's emerging yet anyway out of the U.S. for us. The construction remains strong overall including the U.S. and surveying instruments are -- have some pockets there. But then international, I guess we've said is pretty much consistent across the worlds across the world.
Bill Benton - William Blair: Okay. And then, before I think you had talked about Germany and Japan coming on strong, I know you this time you mentioned kind of the Middle East, I don’t know if you can kind of update us on may be some of the trends within the moderate -- in some of those market?
Steve Berglund: Sure. Europe is, again, showing signs of life, including Germany. I think the fundamentals in Germany. I think Eastern Europe is, again starting from a low base are continuing to improve. I think Eastern Europe is again starting from a low base, looking farther into the future. Eastern Europe and Russia, I think are particularly noteworthy in Europe, but pretty much across Europe we are seeing relative strength. Again, there are pockets in Europe that are not doing as well as others. But, across Europe, but in particular, I think Germany is showing signs of life and than Eastern Europe and Russia are in particular kind of hot spots at this point. And then, again, pretty much across the rest of the world, South Africa and Middle East, China, India. India is starting for a low base, but beginning to catch on. So, generally a pretty robust picture internationally.
Bill Benton - William Blair: Okay. Can you talk for any, I guess, insight into, is your operating profitability better from your international sales or is it pretty comparable?
Steve Berglund: I basically avoid the question and say it's roughly comparable. You wouldn't find major differences internationally, but I don't want to give too much competitive insight here. So, I'll just characterize it as not being necessarily a major swing factor in terms of where sales are coming from.
Bill Benton - William Blair: Okay. And then I was wondering, last question, if Raj could provide any insights in terms of the restructuring charge what that may specifically be related to?
Rajat Bahri: It is specifically related to @Road.
Bill Benton - William Blair: Okay. And was it headcount reductions or anything specific there?
Rajat Bahri: Yes. So there were two portions of restructuring, one was in our balance sheet on purchase price accounting and other one hit the expenses of 2.7. So, it primarily had to do with the people going away and their severance packages and their change of control provisions.
Bill Benton - William Blair: Okay. Great, guys. Thanks a lot.
Rajat Bahri: Thank you.
Operator: Our next question comes from Jeff Evanson with Dougherty & Company.
Jeff Evanson - Dougherty & Company: Good afternoon. Thank you for taking my questions. I think you guys are being too coy about your impressive operating margins in E&C. These are astounding numbers for Q1. Could you talk a little bit about how much of that came from mixed shift, and how much was just pure leverage?
Steve Berglund: I will let maybe Raj give a more precise answer. But, I guess we can afford to be coy if you are being that robust, Jeff. But, I think it's probably a combination of things. It was certainly some product mix considerations. Again, as our software content in the product increases there is natural buoyancy in gross margins. They may not, per se, detectible from quarter-to-quarter, but, essentially we are overall creating a richer product mix over time by adding more and more software content. So, for example, adding Meridian to the mix with an inherently higher gross margin is going to tend to lift it even though it's a fairly small portion of the pie at this point. I think, certainly, we keep continual emphasis on operating leverage, so we're always working very consciously and diligently to make sure that revenues are growing faster than the fundamental core cost base, and I think that was true in the first quarter as well. So, I wouldn't necessarily point at any one thing that accounts for the improvement in operating margins in E&C. I would say that it is actually a number of things working together, but all time back to what I would call fundamental set of values. Raj, do you have anything to add?
Rajat Bahri: The only thing I would add is the new products that we have been introducing in the last couple of years like Trimble S6 or the Spatial Stations are in construction area. They all tend to be higher margin products than the base business, and that clearly has -- as those products have been successful, that has expanded our gross margins quite a bit.
Jeff Evanson - Dougherty & Company: So, with a lead in like that, you got to assume I have a follow-up question with a double edged sword in it. Given, Q2 E&C operating margins, the worst sequential improvement you had historically has been about 350 basis points. Yet your Q2 guidance suggest about flat E&C operating margins. Are you just being conservative on the Q2 guidance or is you are something more to what you are telling us there?
Rajat Bahri: Well, we believe in Q1, our mix was unusually good in terms of mix of our products. In other words there are high margin products that were particularly successful. And we are assuming a more normal level of mix in Q2. And that won’t be in our favor in Q1, will not to that extent in Q2. So hence we are not building that kind of a product mix in Q2.
Jeff Evanson - Dougherty & Company: So, for example, possibly you had an $8 million sale of training software to the military, did that happen in Q1? And what was the profitability beyond a product like that?
Steve Berglund: We are going to ignore the second aspect of the question, and let's just say that I don't think any of that was recognized in the first quarter. And I think the revenue on the order that you are talking about will be recognized over actually a number of quarters, so it won't have any particular impact on closed sense. So, it will play out over a number of quarters. So, just in terms of the revenue recognition. So, I would say that is not an impact either in the first quarter or necessarily a major impact on the second quarter.
Jeff Evanson - Dougherty & Company: Okay, great. Thank you very much.
Steve Berglund: Sure.
Operator: Our next question comes from Paul Coster from J.P. Morgan.
Paul Coster - J.P. Morgan: Thanks, good afternoon. Raj, give me a free pass as being new to the stock here, but the guidance for the full year is just a little bit hard to work with at the moment. The first quarter is great, the second quarter looks to be growth over prior year or at least flat with it, but then the full year guidance suggests that the second half pro-forma earnings are going to be lower than this time last year. Why would that be or have I misinterpreted your guidance?
Rajat Bahri: Well, I mean our guidance, Paul, couple of things on the guidance. We actually have raised the full year guidance versus our last guidance based on primarily the lower interest expense that we are experiencing. What we experienced in Q1 is still early to exceed, its going be sustainable for the full year. So we are not calling out as an upside right now to the full year, because we are still in the month of April. And the second part is in the back half we do get impacted by some dilution impacts from @Road, and some tax rate impacts year-over-year that work against us in the back half of the year.
Paul Coster - J.P. Morgan: But what of the dilution impacts?
Rajat Bahri: Dilution impacts, at this point, when we guided again the year, earlier on we had said there will be a $0.10 dilution on @Road. At this point, we believe that dilution would be around $0.06 to $0.07.
Paul Coster - J.P. Morgan: I don't understand why it would not be affecting the second quarter as well then?
Rajat Bahri: It is impacting second quarter as well.
Paul Coster - J.P. Morgan: Well, the takeaway from me is it's just very, very conservative full year guidance. So, it's really a conclusion, I could draw, unless you see a fundamental change in the business year-on-year that's negative in nature?
Rajat Bahri: Well, we are in the month of April, and as we come more closer to Q3, we will update our back half of the guidance on this point. We basically are not changing our stance for the full year except for the interest expense.
Paul Coster - J.P. Morgan: Alright. Got it. In currency, did you see any benefits from currency this quarter, either at top line or bottom line, and can you quantify it?
Rajat Bahri: Yes. Currency always has some small impacts for us. Basically, the dollar did weaken against most of the European currencies. So that did have a small impact on our top line to our benefit. But, on the bottom line it looks in the reverse direction. When the dollar weakens, we have a lot of R&D expense and lot of operating expense in Europe. So, it hurts us on the bottom line, but the impacts are small enough that we haven't disclosed those.
Paul Coster - J.P. Morgan: I'll confine myself to one last question, Steve. You mentioned in your prepared remarks that your internal review is interesting, unmet needs from the part of your customers. Were these unmet needs could be within the existing verticals or are we talking about the potential of Trimble's move into new verticals?
Steve Berglund: So, I think this is probably more a matter of definition than anything else. It is what I see as one of our fundamental growth drivers, and it has been for a number of years. It’s what we would call the search for adjacencies. That may mean, bringing existing capabilities to new customers or to be bringing in new capabilities to existing customers or existing capabilities to new customers. So, they may, in effect be, lets call adjacent verticals, but what we are definitely not telegraphing here is wild and new departures into areas where we don't have any domain experience or where we have no background. So, we do see a lots of growth opportunities in, let's call adjacent areas to where we already are which involve what I will call lower risk, lower capital requirements and all of that, but all of the incremental growth strategy in it. And, in fact, that's what we’ve been pursing here for a number of years.
Paul Coster - J.P. Morgan: Great. Thank you very much.
Steve Berglund: Good bye.
Operator: Our next question comes from Peter Friedland from Soleil Group.
Peter Friedland - Soleil Group: Hey guys, can you talk a little bit about what you are expecting for seasonality in the Ag business. Is it the same as prior years or maybe two-thirds of the revenue for that business come in the first two quarters, or are we seeing a change this year given the strength in the market? And then I have a follow-up.
Steve Berglund: Okay. So, I think that I will characterize it is, okay there maybe secular trend here that's going to lift all the quarters, but I would not be calling a change in fundamental seasonality. Farmers tend to put things on their farming permit in times when it's not in active use which is called the relatively early spring, and then call it maybe late summer before the harvesting begins. But the seasonal patterns will remain in effect. I think perhaps we've been helped a little bit this year, because in some places there are relatively wetter spring which have kept farmers out of the fields and has maybe extended the selling season a bit longer than normal, but not making any prediction that the seasonality is going to change, but again there is an underlying -- we believe there is an underlying secular trend here that is lifting all the quarters, and so the fundamental seasonality won't change in our view.
Peter Friedland - Soleil Group: And then in the machine control businesses, both in construction and Ag, any -- has there have been a shift from retrofit to the factory installers that’s still primarily for both markets retrofit?
Steve Berglund: I think still in a significant majority of cases it remains an aftermarket. The aftermarket in construction is remaining viable for significantly longer than we would have guessed five, six years ago. And agriculture is still principally an aftermarket sort of a retrofit and very little was actually put on in the factory.
Peter Friedland - Soleil Group: Great. Thank you.
Steve Berglund: You bet.
Operator: (Operator Instructions). Our next question comes from Eli Lustgarten from Longbow Securities.
Eli Lustgarten - Longbow Securities: Good afternoon
Steve Berglund: Very nice, good morning.
Eli Lustgarten - Longbow Securities: Thank you.
Steve Berglund: You bet Eli.
Eli Lustgarten - Longbow Securities: So, just a couple of clarifications just on the @Road impact in the second quarter, I guess it gave us a little over 11.6 million in the first quarter. But, it's still showing $80 million, $85 million you are talking about roughly $20 million to $25 million a quarter in the next couple of quarters that sort of would be the guidance looks like?
Rajat Bahri: That's in the range. I won't give you precise number, Eli, but that's in the range.
Eli Lustgarten - Longbow Securities: Is there any seasonality in that second and fourth, is there a seasonality in that business or --?
Rajat Bahri: No, there should not be any seasonality.
Eli Lustgarten - Longbow Securities: Okay. And you said it made a little bit of profit in the second and the six weeks that you owned it, is the implication in sort of guidance that you expect from the income statement point of view that to be almost no impact on the bottom-line from @Road's point of view marginally one way or the other, that's sort of a part of the guidance in it?
Rajat Bahri: The guidance assumes that they will make money for the full year.
Eli Lustgarten - Longbow Securities: Okay.
Rajat Bahri: And that will be offset by the higher interest expense and higher dilution from the shares.
Eli Lustgarten - Longbow Securities: Yeah. Now can you give us what the interest expense run rates is going to be?
Rajat Bahri: Sure. So, I think originally we had guided around $14 million for this year. Based on our current debt level we believe it will be around $9 million of interest costs.
Eli Lustgarten - Longbow Securities: So, I was talking about what the $3 million for the next few quarters basically?
Rajat Bahri: Yeah, that's right. We have $170 million and our interest cost runs around 6.1%.
Eli Lustgarten - Longbow Securities: Okay. And the amortization number that we still have, the amortization of goodwill, will that change or is that to be run rate 4.1, does it go up in second quarter?
Rajat Bahri: It does because @Road has been there for six weeks.
Eli Lustgarten - Longbow Securities: Yeah. How much so -- might be in the second quarter or for the rest of the year?
Rajat Bahri: So, per quarter, next quarter we are calling it as $10.1 million. I think that's the number we had.
Eli Lustgarten - Longbow Securities: $10.1 million for the quarter?
Rajat Bahri: For the quarter, for quarter two.
Eli Lustgarten - Longbow Securities: Okay. So it's going from $4.1 million to $10.1 million is what you are saying?
Rajat Bahri: Actually it was higher in the first quarter. $4.1 million was just in the operating expense, we get some in the cost of goods sold as well.
Eli Lustgarten - Longbow Securities: Okay. And how much --?
Rajat Bahri: So, if you combine the two, the first quarter was, let me give you the exact number, amortization of purchase intangibles was $7.9 million in Q1.
Eli Lustgarten - Longbow Securities: Okay. So, an increment of a little over $2 million would be spilt between cost of goods sold, again, and the amortization line or would it be just in the amortization line?
Rajat Bahri: So of the $7.9 million, $3.8 million is in cost of good sold, and the rest is in operating expense.
Eli Lustgarten - Longbow Securities: And we will have the same ratio in the next quarter?
Rajat Bahri: Yeah. And roughly at the same ratio that $7.9 million we are forecasting that to go up to $10.7 million because we have full quarter of @Road, that's really what’s causing the increase in Q2.
Eli Lustgarten - Longbow Securities: Yeah, I realize that. And what's the share run rate, the actual share outstanding run rate; did you have a blended number also in the quarter?
Rajat Bahri: For Q1, it was 120.9 million shares and for Q2 we are forecasting 124.6 million shares.
Eli Lustgarten - Longbow Securities: And is that considered the run rate for the rest of year at this point?
Rajat Bahri: It will slightly go -- every quarter, we give some options out, so it increases by 700,000 shares every quarter. So for the full year we are expecting around, I'll give you the numbers, just give me a second there, 123.8 million shares is the full year average.
Eli Lustgarten - Longbow Securities: Okay. And at this point and when you look at the rest of the business, the only thing that sort of change, I mean the undermining market was fine. Is that over said we've had the surging costs around, whether it's material or copper or all sorts of crazy stuff. You don't really have any impact in most of the stuff that you have at this point. You are not seeing anything that's affecting you?
Steve Berglund: No. I think that if it's going to affect us we are going to see it as a third order effect, as it will seen through a couple of steps before it gets to us. So, by the time it gets to us its some things that we probably couldn't detect if we wanted to. So, I would say it's got the potential for affecting us as a third order effect, but I would generally shrug my shoulders as to any real effect here.
Eli Lustgarten - Longbow Securities: Okay. And as a final, the success of the new Ag line, the new EZ-Guide or the EZ-500, I think it is, right so, I mean can you talk a little bit what's the market interest in that? It seems like that should be a hot, you know, the right amongst the right product at the right time, kind of environment.
Steve Berglund: Yeah. Given the results that actually seems to be the right conclusion, but, there have been a couple of things that have occurred in the last six months at the lower end of the market. So, the market divides up by for lack of a better term, it's called the high-end and the low-end. The high-end is our Autopilot line, which is the most fully automated line, and that is actually doing very well in its own right. But at the lower-end of the market, there have been a couple of actions that we've taken in the last six months. One was the introduction of the EZ-Guide 500, which has been very well received by the marketplace. But the other, towards the end of 2006 was, we actually took advantage of our cost position and we reduced the price on our existing EZ-Guide Lightbar line. This turns out to be a very elastic market, and so actually and quite price sensitive, and so we are taking advantage of that and so both actions combined together, I think, established a new value point for the farmer and I think the response has been very good as a result.
Eli Lustgarten - Longbow Securities: And then finally, you told us about CTCT -- or whatever, the Caterpillar JV, I mean it looks like that business is starting to do quite well and I am wondering where you need a new round of capacity expansion or market expansion on that. I mean it just look that products starting to and it will get some traction.
Steve Berglund: Right, well CTCT is doing well. Both Caterpillar and Trimble are contributing to that growth. I don't think there are any step functions involved here, walking around BAUMA last week, which has a major trade show for the construction industry. It becomes apparent that the technology is -- people are beginning, contractors are beginning are really beginning to get very comfortable with the technology. It is working into a more of a mainstream mode. And so as a result, I think the time has come, maybe the pioneering days are beginning to be a little bit in the past and now, we are entering the mainstream site. So I think, again no step functions, no discrete decisions made that are required of us other than to support the business. But I think it will be continuous, it will be incremental just as it has been but with a backdrop of I think a greater market acceptance.
Eli Lustgarten - Longbow Securities: Thank you.
Steve Berglund: You bet.
Operator: We have a follow-up question from Paul Coster from J.P. Morgan.
Paul Coster - J.P. Morgan: Yeah, thank you very much. The GNSS, the deployments that you've seen in the couple of geographies now, can you talk to us about what this means from the perspective of follow-on business in those geographies? Is it quite more stickiness for Trimble in those geographies?
Steve Berglund: So, if you are talking about the new satellite constellations or are we talking about the VRS?
Paul Coster - J.P. Morgan: I'm talking about the GNSS deployments in for instance, I think you had one up in somewhere in the Northern states. I think it's Wisconsin or and then you have looking through a Polish deployment recently and.
Steve Berglund: Okay. We are talking about what we called VRS Virtual Reference Station which is a something different than actually the GNSS, which could imply new satellite constellations coming in the future. So, in reality the VRS infrastructure does a couple of things for us. First of all, Trimble has been talking about relatively low penetration rates on survey instruments, GPS related survey instruments for machine control or the rest for some period of time. So logical question is what's required to penetrate the market more deeply and one other thing that’s required to penetrate the market more deeply, you can move it more aggressively into the main stream, let's call it the convenience factor. Today, to deploy GPS down to centimeter level requires at least until recently has required a contractor or surveyor to set up their own infrastructure to put a GPS receiver at a known location to provide the correction signals. So, things like these VRS deployments, deploying infrastructure enables a surveyor or contractor to just say get that centimeter level of accuracy by the flip of the switch as opposed to going out and deploying their own infrastructure. So, the convenience factor the threshold factor here has come down and as a result -- first of all, we believe that it enables the market being penetrated more aggressively than it has been historically. So the denser the infrastructure the better it is for us overall in terms of penetrating the market with new technology. And so, it's not per se stickiness but it is a major opportunity for us. At the same time is that it -- at the margin is a good thing that what's being deployed is Trimble technology to provide the infrastructure we understand how it works perhaps more deeply than anyone else, although at maybe available to others we maybe able to better integrate with it than others and therefore we perhaps get our performance advantage as a result. So, it benefits us in a couple of ways but overall this is a very good thing.
Paul Coster - J.P. Morgan: Okay, got it. So VRS and the second question I had it was @Road has been partnering with Eaton Corp. but we haven't actually seen the outcome of that, but I understand from CTIA that the new products are now available for market and presumably the Eaton Corp. sales organization is ready to start pushing it. Are you seeing any early results from that or is it still too soon to sign? Can you comment full about that partnership?
Steve Berglund: Yeah, well, I've been to visit Eaton myself since the @Road thing came up and I would describe Eaton as being connected to the concept. As far as actual results that are reflecting in Trimble's financials, I would still characterize it is too early to say anything. I made the comment in the script as that there are a number of contracts that have been taken, that have future potential, but which are, at this point in time, requiring a significant amount of R&D to get to the point of marketability. The Eaton contract, would, for example, be one of those where there is a significant front-end load that's somewhat of a drag on the financials and the revenue stream is yet to come. So, that would be one of the cases. But, as yet, it has not had a material effect on the top line.
Paul Coster - J.P. Morgan: Thank you.
Operator: Your next question comes from Jeff Evanson from Dougherty & Company.
Jeff Evanson - Dougherty & Company: Couple of follow-ups for Raj. Raj, would you be willing to share the geographic breakdown of revenues on a dollar basis?
Rajat Bahri: So, we have it and it will be in our 10-Q. I don't have the numbers with me. But, roughly I can tell you 52% of our revenues come from, the inclusion of @Road comes from US and the rest comes from rest of the world.
Jeff Evanson - Dougherty & Company: Okay. And then my second question is when you described the @Road acquisition in early December, you talked about a $28 million deferred revenue write-down.
Rajat Bahri: Right.
Jeff Evanson - Dougherty & Company: Could you talk about how much of that came into the quarter here, and which line item that might have filtered through?
Rajat Bahri: So, it doesn't show up as a line item. Basically, it's an opening balance sheet adjustment. When you pick up the balance sheet there is deferred revenue there and you've just picked up a lower balance then what's on that opening balance sheet. So, it really does not impact the P&L. The way it impacts the P&L is you don't get to recognize that deferred revenue over a period of time, because you have written it down.
Jeff Evanson - Dougherty & Company: So, it's involved in the purchase accounting?
Rajat Bahri: That's right.
Jeff Evanson - Dougherty & Company: Okay.
Rajat Bahri: And you report lower revenue than @Road would have reported if they were still a publicly traded company.
Jeff Evanson - Dougherty & Company: Absolutely. I got it. Thank you.
Operator: At this time there are no further questions. Do you have any closing remarks?
Steve Berglund: No closing remarks other than it was a good quarter, and we will talk to you in three months. Thank you.
Operator: Ladies and gentlemen, thanks for participating in today's Trimble Navigation quarter one earnings conference call. This concludes today's conference. You may now disconnect.